Operator: Welcome to the IAC Reports Q2 2017 Results Conference Call. For opening remarks, I will turn the conference over to Chief Financial Officer, Mr. Glenn Schiffman. Mr. Schiffman, please go ahead.
Glenn Schiffman: Thank you, Operator. Good morning, everyone. Glenn Schiffman here and welcome to our second quarter earnings call. Joining me today is Joey Levin, our CEO. The focus of this call will be IAC ex-Match. Similar to last quarter, supplementals for quarterly earnings release we've also published our quarterly shareholder letter. We will not be reading our shareholder return on this call. It is currently available on the IR section of our website. I will shortly turn the call over to Joey to make a few brief introductory remarks and then we'll open it up for Q&A. Before we get to that, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as we expect, we believe, we anticipate or similar statements. These forward-looking views are subject to risks and uncertainties and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our second quarter press release and our reports filed with the SEC. We'll also discuss other non-GAAP measures which as a reminder include adjusted EBITDA which will refer to today as EBITDA for simplicity during the call. I'd also referred you - refer you to our press release and again to the IR section of our website for all comparable GAAP measures and full reconciliations for all materials of non-GAAP measures. Finally, in connection with the proposed Angie's List transaction, we and Angie Home Services have filed documents with the SEC. You are urged to read these documents because they contain important information about the proposed transaction. You can obtain free copies of these documents by contacting Investor Relations or from the SEC's website. Now let's jump right into it. Joe?
Joseph Levin: Thanks, Glenn. Thanks, everybody for joining us this morning and most of you also yesterday morning. We had great quarter in the second quarter. The public business - public soon to be public businesses have a very, very quarter, but also we had a good milestone in Q2 in that rest of IAC, excluding those businesses and excluding the businesses we sold actually grew in aggregate for the first time in a while. And I think by next quarter, every single individual segment will be growing top and bottom line. So it's a good place to be in. We've cleaned up a lot of distractions. We've gotten things, I mean, we're back on once again and that feels really good for IAC in total. So let me turn it to questions.
Operator: [Operator Instructions]. And we'll take our first question from Ross Sandler with Barclays.
Ross Sandler: Congrats on the quarter. Joe, I'll start with just revisiting the HomeAdvisor Angie's. So we've had a couple of months out to digest. And I think most folks on the line can get to the 270 and EBITDA in '18 kind of post-synergies. But given the respective growth rates in margin profile, can you just talk about the 5-year CAGR and the margin goals beyond '18? Just help us better understand what the roadmap looks like to achieve these goals? Are these stretch goals or just that current plan? And then the second question is on Vimeo. The SVOD space has become increasingly risks crowded in '17, so just can you walk us through the rationale for this strategy shift? And do you think you have the assets in place to build out the premium service you talked about in the letter on the creative contributor side?
Joseph Levin: Sure. Both good questions. We have on - first of all, I'd just say that we've done a lot of work - since we announced, we have been a lot of work since we got the antitrust approval and we've been very deep in the business. And every - all the work that we've done strongly affirms where we thought would be as it relates to 2018. And same is true for looking at the 5-year CAGR on the business. I think we've thought this is a 20% to 25% grower in that range for 5 years. I think it is. And as it relates to margins, again, short term, we're not optimizing for margins. I think that we're looking to grow the marketplace, we're looking to grow side and the demand side and we'll invest margin to do that for - as long as it takes to do that. But when we look out further out and what margins could be when put a number there, we can talk about kind of upside to downside to that, but go ahead.
Glenn Schiffman: Yes. I'll jump to the margins, but also remember the last letter that Joe wrote, where we talked about the 3 very powerful macro trends behind us here. 1, is the market share; two, is the take rate; and 3, is the offline to online conversion, the 90/10 we talk a lot about. And those underpin obviously the 20% to 25% CAGR that we think on a go-forward basis. And as Joe said every sign we're seeing suggests we're on track there. And then there is also the HomeAdvisor-specific metrics and the benefits from the network effect that obviously are going to try the revenue growth going forward. It left Chris talked about many times, the sales force productivity, it's the, it's the job value of SP quality. So we feel good about the 20% to 25%. Look in terms of margins, we talked about when we announce the transaction of margins ramping to 35% over that time frame. And we think that - we continue to think feels right. We think there's scale and marketing. We probably won't take that scale for a period of time in marketing, but we think there's scale and marketing. We think there's scale and product. Again, we're - we probably won't take scale yet in the first couple of years in terms of product, but sales we think there is real scale. And look, remember, the combined expense base on this business is almost $800-plus million. So obviously, a lot of incremental revenue can flow through to the EBITDA line.
Joseph Levin: Yes. The other thing I'd add is, it's not - we're not seeing 20, 25 would be a deceleration from where HomeAdvisor is growing right now. We're not seeing the deceleration in the business. But when we look 5 years out and when we think about numbers and we think about unknown and that's why we come up with a number like that, but we're not actually seen today any deceleration. Second question was about SVOD and the strategy shift. The - let me take a few things. The most important thing is that while we're dropping the SVOD strategy, we think about it more as kind of seizing on the platform than we do on dropping the SVOD strategy. Because we're taking all the people who are working on that and essentially doubled our efforts on the platform. And the reason we did that is because that business is doing very well. We're seeing things in that business that we just don't see in a lot of subscription businesses. Incredible engagement of the subscriber base, regular consistent engagement of the subscriber base. Most time when you see a subscription business, you'll find that there are some dormant subscribers. In Vimeo, there is very few. Everyone is active. We're seeing stickiness that we don't really see. And we're seeing customer satisfaction scores which we measure Net Promoter Scores consistently going up and then we're getting direct feedback from the audience. When you see all those things and then we kind of compared with the cohort curve which is cohorts are becoming more valuable overtime. And not only are there becoming more valuable overtime, but when we see these curves kind of out multiple years, we're seeing positive teams in the curves when we launch new things. We said investing into that where we can continue to launch new things and continue to sort out these curves positively, that is - we got to put as much people and energy and capital into that as we possibly can and distract from there. And that was really the driver was getting really excited about that opportunity. When we launch things like annotations which is a relatively small feature, but it's just got great individual and we launch the business product, got great engagement. And so we're looking at those kinds of products to continue to launch, to continue to move subscriber to deliver better product, more services to subscribers. And therefore, move people into higher tiers of services we can deliver. On the other side of that was certainly weighed on the decision and decision was the fact that it is a very - the SVOD market is very crowded and cost were skyrocketing. And it's - our sort of initial estimates of what we thought we could do were too low, maybe too low because we made mistakes in the business in the beginning, but also too low because the nominal price over that time just increased in the market. And even that wasn't the sort of tipping point. Really what the tipping point was as it related to SVOD was, the deals we're going to have to do with the creative community didn't have us really side-by-side with the creative community. We were trying to put out deals that had us as partners and it ended up us just being opposite them. And that felt inconsistent with the mission of empowering creators. And some people say, it's cheesy when we continue to go back to this mission of empowering creators, but it really is important to us. And this was a launcher was starting to look more and more like a narrow creator benefit and not broad creator benefit. And we want to really maintain that creator benefit to make our overall marketplace work. So I think that right decision. We feel really good about it and we feel really excited about what's going into the creator platform. And obviously, we're going to save a lot of money relative to other strategy which some people are excited about. But the most important point here is we're playing into strengthen and empowering the creators which is we set out to do form the beginning. Does that answer your question on SVOD? Maybe second part of it. I got it off.
Operator: We'll take our next question from Dan Salmon with BMO Capital Markets.
Daniel Salmon: Maybe just to follow on a little bit more on Vimeo. Joe, you mentioned in the letter a couple of opportunities around editing solutions, marketing and monetization tools, new formats. Could you maybe expand on the forward-looking Vimeo just a little bit? I know, you touched on a couple of recent new products that help. The idea is to build the product base and charge more, but just little bit more tangible on the ideas of what you want to add, that would be interesting? And then just second, with the Dotdash transition complete, would love to your just an update on what the main priorities are there, the obvious of grow revenue and profits, but would love to hear more color on that as well?
Joseph Levin: Sure. On Vimeo product, the #1 thing we're working right now which company is focused on is live. It's our #1 feature from our creative community. It's something that they are paying for with other providers. And demand for that is even outside of movie is enormous. The volume of potential customers creating a live experience right now globally is enormous and growing. Every church, businesses, yoga studios, you can go a pretty wide range and a longtail of live events happening that people want to broadcast in high quality, but want to control the experience completely it's not on one of the existing platforms like Facebook or YouTube, but where they can kind of only audience and only experience and not have it be SVOD. That is - that's our #1 priority as it relates to product right now. And feel to have something good out there by the end of the year. And we're consistent with our Vimeo growth, where we're really focused on the actual video streaming quality there. We're going to launch features in there over them, but our #1 feature that was on is high-streaming quality of the live feed. One of the other benefits of not launching the SVOD surface is other areas where we're prioritizing become simpler and cleaner. So for example, our mobile apps. We were looking at splitting our mobile apps previously into a consumption experience and an upload experience that's the 2 different apps. And now, with the new focus, we're focused on 1 app and there is a lot of features that we can put into that app that we're pretty excited about. So we're going to have to major updates on our mobile app soon and that will add a lot of creator tool functionality for mobile. The other thing that kind of more generic workflow in marketing tools, how to organize your videos, collaborate on videos with teams or multiuser experience, enabling social distribution, things like that, but all this roadmap has actually just - again become a lot more clear as we focused. On Dotdash, the priorities are - the sort of - the thing we've accomplished, although it's never done as we turn the traffic and traffic is growing. And scene sessions on each of the Dotdash property grow is a really big deal for us. The next step is selling that - those sessions, selling that traffic. I think on our properties Verywell is the first one that spoke upon the health care category. That one is going good. The - a, help us a great category. B, we've got a great product and advertisers are really engaging there. With the properties, there kind of doing - having expect them to do the most recent property, where sort of little bit nowhere on sales there. So getting the sales operation kind of up and running, both at the talent and delivery on each of those is the near term priority. The second thing is, the big turn for us in traffic was SEO. We were losing SEO. And then we got again gaining SEO. And on a much smaller base of content because we've eliminated a lot of content, we've got a smaller base of content delivering a lot more in terms of SEO traffic. But we're also now focused on diversifying away from SEO. We made huge progress on that and in terms of social, in terms of e-mail and continuing to diversify is going to be key for us there. And then the last thing which is more general and - but critically important is starting to make each of those brands because they're brand new brands, really relevant in their category. I think Verywell is piercing through. People are talking about it as it relates to health. It's making its way into the dialogue. We now have to do that 6x and that's our work. There is a little magic in that work. There is a little luck in that work. It's not necessary to deliver the financials, but it's the thing if you can't deliver it, service starts to bring some exponential growth and that's the big thing to accomplish there. That's PR, that's creativity, that's just delivering a great experience for audience consistently and that's what we're working on right now.
Operator: We'll go next to Paul Bieber with Crédit Suisse.
Paul Bieber: First off, Joe, now that you have 3 months of - in planning under your belt with the Angie's List, what have you learned about the Angie's List business? And are you more confident now about the outlook you provided given your learnings? And then secondly for Glenn, can you just walk us through the share count calculation for used in the shareholder letter where you highlighted the valuation gap maybe different to previously disclosed in the merger presentation?
Joseph Levin: In terms of what we've learned on integration efforts and our confidence, I'd say we're as confident as we were in the beginning. Some people would say more confident. I'd say at least as confident as we were in the beginning. The - we're growing through in real detail. All the headcount, all the department, all the expenses. But also on the revenue side, the relationship with the service professionals and the traffic. On the traffic side, I think you saw with their earnings, the traffic is steady, healthy, growing in fact. On the side, there was relationships seem pretty healthy. And so I think we're pretty confident there. I think we've seen a little bit more attrition among the NG employees than we had estimated which is okay. I think as it relates to the revenue and the EBITDA. I read some headlines or analyst reports, they were saying that this is a miss or disappointment, but it wasn't for us, meaning this was, I think aligned in-line with or ahead of our expectations where they would have been in the quarter. So overall, we feel good about it. I'll turn to Glenn, you can add to that or then answer the share count question.
Glenn Schiffman: Yes. One of the things that I think we've also found out which is positive and we said this on the call, is that some of the expense synergies could take a form of foregone future expenses at HomeAdvisor given our aggressive growth plan. And do we see that as case back. There is a lot of talented trained industry professionals at Angie's List that can move over to HomeAdvisor and fulfil our aggressive growth plan. I think that's one. We've also gone through a lot of a third party spends in detail and as Joe said, department-by-department. So again, we feel good about that. Look, I wouldn't call this as surprise, but the other thing is despite our management team being very distracted with the planning for the integration, it was impressive to us that they posted the quarter, the quarter they did which again speaks to the confidence we have in them in terms of the business and integrating Angie's on a go-forward basis. Yes, in terms of your share count, you may recall that the shares outstanding for the pro forma company and the shares we get is a dynamic calculation that depends on the amount of options that are exercised between signing and closing which will determine the share counts - share count that the Angie's List shareholders bring to bear in the merger calculation and then therefore, match up to the shares that we get. Did you probably referring to Page 18 of the presentation that we gave in May which had shares issued IAC of about $428 million. You'll also note that, that included shares held for employee compensation. That the shares added to up about 492, we think given the increased shares outstanding again through the option exercise, that 492 is probably a little over 500. That 428 is probably between 435 and 440 and then the difference between the 435 and the 413 referenced in the letter is kind of the net dilution which Joey talked about that on the previous call of 3% to 5% of the dilution to the management team. Does that too much detail or is it get it across?
Paul Bieber: No. That's helpful.
Operator: We'll go next to John Blackledge with Cowen & Company.
John Blackledge: Joe, near end of the letter, you talked about looking for new opportunities, kind of within the IAC framework, early large acquisition put. Did management around it invest and grow businesses? Are there any particular new areas of focus you could discuss? And then also investment opportunities within the existing businesses, I guess outside of Match and HomeAdvisor? And then on the apps business, do you think you can consistently post your $30-million-ish plus EBITDA per quarter for the foreseeable future? And you called out 15% revenue outside of the deal, how does that mix change overtime?
Joseph Levin: Sure. In terms of new M&A, the thing that worked well for us are this concept of product - the scale improved the product, not just the price. That is the way - the way we think about network businesses or marketplace businesses and that's what we're looking for. I do think there is a lot of areas still. I mean, we've got a couple that our folks found out. I won't mention, but there is lot of areas still where things are happening online, people are connecting - things are happening offline. People are connecting through telephone or telephone trees, getting people into places and happening through kind of message. And that's where we're focused. The category specifically will save that, but - but that's what we're looking for. And I do think it's likely in that area that will do things much earlier stage, just because I think the areas we're focused now they aren't dominant players set. In terms of M&A for our existing businesses, I'd love to place some capital for Vimeo, I think if there are. First of all, there is again a natural tailwind today are in terms of the online migration, in terms of video being more relevant in a lot more places than it used to be, to a lot of businesses than it used to be, to lot more individuals than it used to be. And we're macro on video, whether we can find things that make sense or that where we can really bring synergies from Vimeo to the business or from that business to Vimeo remained to be seen, but we would like to try and deploy capital there. I still don't did it's likely that there is a big M&A in the Publishing or Applications businesses, again, impossible find something, we could, but I'd say that's less likely at any kind of mentionable scale in Vimeo or something new. In terms of apps in the $30 million of EBITDA, I do feel good about $30 million of EBITDA, the Applications business. I do feel good about that for a lot of. I don't see things that would suggest that will change. As you know - as we know, that can change or has changed historically and it has changed suddenly, but I don't see any of those things on the horizon. And they're delivering consistently. I think that was the entire Applications question.
John Blackledge: Diversification...
Joseph Levin: Yes. So the nature of that right now is both the mobile business and subscription business. So mobile is think of the same Applications that we distribute on desktop there, like weather, calculator, notepads, flood trackers, things like that. Those are - we distribute those same businesses on mobile, but on mobile, we monetize them 1 of 2 ways. Either, we actually sell the product - sell the app, whether at $0.99 or sell some from $90.99 or it can be a subscription for the app and coloring book app that I think it's a $5 subscription. And then the other way of that. So some of the apps are given away for free. Some of the same apps that we charge for, we give away for free and then we charge for net free alternative. And those ads come from a range of places, probably Google among them, although share. And so that the 15% is that in mobile. And then on our subscription business, that's just directly paid by consumers to us for subscriptions to software within our business just things like driver updaters or variations on security software things like that, where consumer pay a subscription.
Operator: We'll take our next question from Jason Helfstein with Oppenheimer.
Jason Helfstein: Two questions. So Joe, with respect to HomeAdvisor or Angie's Services, I think you guys have talked about $200 million in unfilled supplier demand in the HomeAdvisor model. Maybe talk about on the specifically plan to fill that demand traffic? And then as we look at the behavior of Angie consumers versus HomeAdvisor consumers, how that fit? And then secondly, Glenn, can you talk about the long term capital structure of Angie Home Services with respect to debt levels, kind of assuming you execute on that to the target for next year?
Joseph Levin: So on the unused cap, I think that the number is about the same give or take a little bit, but we're utilizing more of that.
Glenn Schiffman: Yes. The numbers seeing, we're utilizing more of the cash, but you're seeing that number the same given the growth of the business, growth of our SP network. And as Joe said earlier in the call, we're getting more dollar volume out of the SPs. You've seen revenue for SP this quarter jump nicely. So again, that casting the same even though we're eating into it and fulfilling more of it.
Joseph Levin: And then on the capital structure or this one to Glenn, but we're thinking about probably a little bit of debt at the new company. I wouldn't really significantly it at all, wouldn't do leverage like we did at Match. I think it's relatively early for that business. I think while we have great confidence in the 2018 numbers, I think we'd love to see the business deliver some things before we put leverage on that business. Also one of the things that was relevant in match of which was less relevant in HomeAdvisor was we have a lot of basis in Match which we could take out. We have much less bases in HomeAdvisor, we have some, but we have much less bases in HomeAdvisor. So that sort of dynamic is not the same. I think tiny bit of debt at HomeAdvisor, both restructure and existing that make sense, but I wouldn't think about IAC right now. That's where I think about it.
Glenn Schiffman: No. I think that's exactly right. And look, as you guys know the debt markets are quite strong right now. So as Joe said, a small amount of debt may make success here.
Operator: We'll take our next question from Peter Stabler with Wells Fargo Securities.
Peter Stabler: Couple of more on HomeAdvisor, if I could. So nice sequential increase in the request. Wondering if you could offer any colors - any color on the drivers of that ramping into the quarter, whether the seasonality plays a role there? And then a question on the SP network. I mean, you guys about $165,000. Wondering if you could help us understand going forward, how much more do you think you need? And in terms of build out from here, is it about covering more geography or is it about filling out more capabilities in markets where you already strong? Just kind of any color build-out and how that might work vis-à-vis the SP population you're going to be porting over from Angie's, if you good confirm the overlap is pretty minimal?
Joseph Levin: Sure. In terms of service requests, definitely seasonal. I mean, it is growing, but it's definitely a seasonal jobs pick up in the summer. And inversely, the service professionals need for services reduces in the summer - need for our services seasonally reduces in the summer and that's why you see in this pickup lot and SPs not grow as much. But what's driving that growth is both organic and marketing. And across-the-board, in terms of channel, television is working well, continues to work well as does online marketing. And we're seeing nice things in repeat rates and - among our consumers right now. The target is a question that we think a lot about and we don't know the answer to it. We know the answer it, we don't SP in the country and we don't want every SP in the country on our platform. But we do know a lot more than we have right now. As an example, the - we're focused in particularly on what we call Tier A SPs and finding more Tier A SPs which is about most valuable - the highest value jobs really focused on additions and remodeling. And right now, those people given the state of the economy, given the lack of new housing, those people are busy. And so we're very focused on building depth in that area in particular. So that would be a job type, but - and also in certain geographies, it might be in particular making this Denver, we just maybe there was a hailstorm and there was a lot in Denver. And so we need lot more in Denver. That - we're constantly looking at that kind of intersection of geo and jobsites to find SPs and to get more debt. And where the debt really matters is as we move more and more towards same day service and direct connections one-to-one connections, more that we have in category and more quickly we can deliver a high-quality SP to a consumer. And so I do think we're a long ways from our - long-winded answer to a long way from our target number of SPs, although it is something short of the entire market.
Peter Stabler: Helpful. If I could I sneak in another one. And you mentioned repeat rate. Could you give us any data around the - how the repeat rate is for HomeAdvisor customers?
Joseph Levin: Yes. I was afraid to have that question, but what we have on that.
Glenn Schiffman: Were greater than 50%.
Operator: We'll take our next question from Brian Fitzgerald with Jefferies.
Brian Fitzgerald: Couple of questions, kind of follow-ups on HomeAdvisor. You mentioned, the rollout for same-day service since in select markets. Can you talk a bit about the early success you seen there? And maybe just walk us through how the economics are different there than a standard service quest? That's question 1. Question 2 is just a follow up on Vimeo. Now that you focused on the SaaS business, can you walk us, we're trying to parse out what the profitability trajectory looks like now? And then - sorry, third one on Vimeo. Can you give us an update on percentage of subscribers that are international?
Joseph Levin: Sure. I think the last one is easy pretty sure the number is 50% or give or take a little bit, that's right around 50% in in terms of Vimeo international subscribers. I missed the second question, but will come back to it. The first question was same-day service and how it's going? So the thing we're focused on right now is really just the Net Promoter Scores, the Customer Satisfaction Scores and we're trying to roll out the service while keeping that sort of insanely high. And right now, is insanely high, meaning multiple than the satisfaction scores we see on the experience elsewhere in HomeAdvisor. And so that means we're rolling out it very slowly, but it means we feel very good about the quality of a service that's delivered. We look at things like these are all important factors and they drive the customer satisfaction score, but for example, the no-show rate, no-show rate is 2%, like I see that down to 0, but 2% is pretty good. The pace at which a service professional is stepping a job and completing a job is right within what we would hope which is quickly. And the consumer satisfaction scores are - sorry, I was talking about both customer satisfaction scores and the SP satisfaction scores, both of those are very good on that product. So that's what we're seeing so far. I think that the key for us is just making sure we have the depth in categories that we were allowed to maintain that. What was the second question?
Brian Fitzgerald: So, the other Vimeo question was just on profitability. Now you're focused solely on SaaS, can you give us some color around on what's the path of profitability there? Can you get there quicker? You have higher levels, any color around that?
Joseph Levin: Yes. We could be profitable on that business right now, we want to be where we're just pointing a lot more into product and a lot more into marketing that. So we're not - I don't think we're going to deliver profits next year. We're not really focused on near term profits, I guess is the answer. I think when I think about the investment levels, it's probably similar to where we're right now for a little bit. But that depends upon whether those revenue growth trajectory continues and the good things we're seeing on subscribers continue. But if that is the case, then will continue to pour into the product into the marketing
Operator: We'll go next to Mark Kelley with Citi.
Mark Kelley: On Vimeo, Joe talked about some of the newer additive products such as lives and some examples you gave were helpful. I'm curious if you think you get that the benefit from each vertical separately kind of similar to what you've done in Publishing, as roll those out. I know Vimeo is a different spot, but curious if that could be additive to growth? And then on HomeAdvisor, can you give us an update on what are priorities for - from a geographic standpoint?
Joseph Levin: Sure. On Vimeo verticals, it's a good idea. We haven't thought that. I think not likely to be a near term priority. But if you think about just making this just making videos, we probably have an incredible collection. I mean, I'm sure we have an incredible collection scapegoat reduce action sports or something that been indexed very high on on Vimeo. So could we organize that into a place and deliver or similar app? Yes. I think we probably could. Again, that won't be the near term priority because we really focused on the creator tool, but to the extent that is something that would be valuable for creators and the people were making those videos and they could either get more audience or more monetization or more exposure things that they want to that, it is an interesting idea. The second question was which geographies, I think are we focused on HomeAdvisor right now geographic priorities? I guess, there is a couple of different you could mean by the question. As it relates to within the U.S., I don't know the answer to that. I mean, somebody knows the answer to that, but I don't. As it relates to globally, we have our best internationally now, primarily Europe and 5 countries in Europe. And I think that's likely our footprint for a little while. I think we've got a lot of work to do in Europe. And we want to get each of those countries up and running and growing and doing all the things that we've seen in the North American business. And so we don't want to take on more than there. I think about a geographic priorities.
Glenn Schiffman: I think I mentioned, this before the TAM of our international footprint right now is about $300 billion. So we get a lot to do of against that.
Joseph Levin: Mark, was that a different question?
Mark Kelley: No. I mean, it was international.
Operator: We'll take a next question from Eric Sheridan with UBS.
Eric Sheridan: Maybe coming back to the Application business. You give a bit of disclosure there, that 15% of the businesses is away from the Google agreement. Curious about 2 things. 1, where you think that number could go over the medium to long term? And maybe contrast the different unit economics under the Google agreement versus increasing the amount of business away from Google and what that does to the profitability curve of the Applications business?
Joseph Levin: Sure. I realized that John asked the 15% overtime question. I look that continue to go up and I continue to see go up indefinitely. And I think overtime majority, but I do think that's happening anytime soon. First of all, the scale of the Google economics and the scale of that piece of the business is huge. And even though, we have the mobile business growing very quickly, it will take a while to be a very meaningful percentage. I'd like to see it continue every quarter. The - as it relates to unit economics, it's very different. I wouldn't say, you should expect - it's a lower-margin business, pieces of it could business, I don't really - it's apples and oranges. You can't think about a pure CPM to CPM. It's really a different business. The way we monetize with Google on the desktop business is around search and revenue. And so for example, you're seeing this, when revenue for query is up, that drop to the bottom line is pure profit in the period. And when it's down, you see the opposite. I don't think that you see as much of that dynamic for good and for bad into other parts of the business. That would be most steady. Pricing is more within our control or less likely to be volatile. So the dynamics are different, but you can't really compare it on an apples-to-apples basis. Next question?
Operator: We'll take our next question from Douglas Anmuth with JPMorgan.
Douglas Anmuth: Just one go back to the you think about the 15% sub growth, can you just talk about whether you think subscribers are coming from other platforms or there more so starting out with Vimeo? And then you have any break out between individuals and would give us a sense of the customer base there? And then just quickly on Dotdash. I realized it's early and you still obviously build up the monetization more, but think you could expand beyond the current 6 verticals overtime?
Joseph Levin: Sure. I just want to go back to one other thing on Eric's question which is - look at our margin right now on the mobile business same as the rest of the business. I don't think you can sort of compared the monetization on that very different. On the sorts of Vimeo sub growth, I think it's a mix, although I'd say most is not a gain from somebody else, I think most is new people category for going from a free solution to a pay solution, whether that's our solution. I think as we released specific products that address specific needs that are served by businesses that addresses narrow needs. We may be taking some share from those competitors. But those competitors have an each individually probably have small number of subscribers in aggregate. In terms of individual risk operate, we do have that number somewhere. I don't have on top of my head. I would say corporate is minority right now, but that is certainly right now, but that is growing nicely and sometimes hard for us to see because we get a lot of subscriptions from individuals within corporate of our objectives in terms of our enterprise business is to really organize that and get those enterprise subscription to an enterprise solution bunch of different individuals in within an enterprise. But that something we can follow can get your numbers on that next quarter. On the current six verticals. Surely, that's will profitability. I think, right now, our focus is going to be on those 6 verticals for the short to medium term, but I do think overtime, we'd love to launch new verticals.
Glenn Schiffman: That just in terms of Vimeo getting back to TAM is of it embedded in your question, there is probably well in excess of $40 million businesses in the U.S. that we would view as the potential target market. And then millions upon millions and some of the people in the space that do some elements of what we do, the subscriber counts are well in excess of millions. So TAM is quite large on both aspects of the business.
Operator: We'll take our next question from Samuel Kemp with Piper Jaffray.
Samuel Kemp: First on [Technical Difficulty].
Joseph Levin: It was hard to hear both of those questions. Actually, the first one I think was, but what was specifically on Investopedia?
Samuel Kemp: Yes. There was a new ad unit that was launched [Technical Difficulty].
Joseph Levin: Got it. Okay. So I don't know the Investopedia was launched recently a look around the by others do I'm getting I would get back to you on that one. On Angie's subscriptions business, that peace is not a priority for us. I mean, don't think it's our isolation for consumers long term is to have a subscription gate in front of connected with the service professional. I do think existing subscriber base, we will continue to offer a compelling work service, but investing in that portion of the business is not of long term priority for us.
Glenn Schiffman: Operator, you have time for 1 or 2 more.
Operator: We'll take the next question from Ron Josey with JMP Securities.
Ronald Josey: Just a follow up on Vimeo. Just talking about, I think Joe you talked about payment of $100 annually payment and this payment is increasing unit getting better. And I know about creative tools live but wondering if you could think about where that $100 can go? Talk about maybe what were the drivers there and what's driving the growth there currently?
Joseph Levin: Sure. I do that could be a multiple of that number. And what drives it is new product. And the way that happens is not so much with nominal price increases its moving people to higher price year. So we get in just for posting and sharing a certain amounts of storage space. And you do more, you get more storage or you have more needs you want to use different tools like event of public platforms or you want to use annotation tools and things like that work seeing that happen very nicely the sort of according terms of cohorts. Looking at our cohorts overtime, that they're getting better at moving people into the by delivering more and better services to them. And when we look at the competitive landscape there, we look at features that we offered. Those otherwise available at a significantly higher price and kind of a standalone purchase may. So as we got end-to-end solution as we deliver more and more services that, we can do that nice margin by moving people into the higher tiers. Was there a second question? Now. Okay.
Glenn Schiffman: Operator, we'll to do one final one.
Operator: We will go next to Victor Anthony.
Victor Anthony: Two questions could help me those. 1 is on service professional. How do you compare ROI how much wiser versus the ROI on search? And then second different emergent competitor Comcast, Amazon does HomeAdvisor compared to emerging platforms from these competitors?
Joseph Levin: Sure. On search, relatively simple. You can - there is math that you can do, but actually - and the math certainly works out. But more important to that is what most service professionals are not organized to market effectively through search. They have a - to get a you get on of what you build the website optimizes the website to turn that quick into a person provide in a job. And there is a lot of percent there to do a lot or spend the service professionals need to do as relates to the spent. We tried to take all that work and signify so that really the service professional has is a direct connection to a consumer with a bunch of information before they even connect me the consumer is, addressable is it really what the job is, whether a job as service professional can handle and all of that requires a lot of work and a lot of algorithms on our side. And I just don't see individual service professionals being as effective algorithms as we're so they can get the benefit of doing that and saving money. So that specific matter on top of my head, but those dynamics make that might play out very compellingly far service professional. Your second question was a competitive landscape, something always very focused on all of our businesses. You have to circle through them one at a time. I think some of the ones you mentioned are focused on a lot of things. I think you mentioned, we're focused on connecting consumers and service professionals around the home and that means we're every engineer, every product person, every marketing person is very consistent on that message very consistent on delivering the product. And we therefore deliver better product on both sides of the marketplace and somebody was trying to serve multiple audiences with multiple different products. It's just always going to be true. I think you mentioned, some early-stage new competitors a lot come into this market, lot of people funding in this market, it's our thing to do and we have been added for over a year, 15, 18 years, I don't know. And we allowed in that period be optimized a lot in that period. And I think it's very hard to get the scale on both sides of the marketplace. And we pay attention to all the new entrants, but like our competitive position relative to somebody coming and building.
Glenn Schiffman: We talk about $1 billion invested in this on the expense line that obviously a lot larger than any of our competitors. And every investing we're doing and everything we're doing is building that competitive mode deeper and wider.
Joseph Levin: I think that's it. We appreciate everybody time us again. And look forward to talking to you next quarter.
Operator: Ladies and gentleman thank you for your participation this does conclude today's conference you may now disconnect.